Operator: Good morning, this is Laura welcoming you to ING's 3Q 2024 Conference Call. Before handing this conference call over to Steven van Rijswijk, Chief Executive Officer of ING Group, let me first say that today's comments may include forward-looking statements, such as statements regarding future developments in our business, expectations for our future financial performance, and any statement not involving a historical fact. Actual results may differ materially from those projected in any forward-looking statement. A discussion of factors that may cause actual results to differ from those in any forward-looking statements is contained in our public filings, including our most recent Annual Report on Form 20-F filed with the United States Securities and Exchange Commission and our earnings press release as posted on our website today. Furthermore, nothing in today's comments constitutes to offer to sell or a solicitation of an offer to buy any securities. Good morning, Steven, over to you.
Steven van Rijswijk: Hi, good morning, and welcome to our results call for the third quarter of 2024. I hope you're all well. And as usual, I'm joined by our CRO, Ljiljana Cortan; and our CFO, Tanate Phutrakul. In today's presentation, I will inform you on the progress we have made on the strategic priorities we have set during the Capital Markets Day earlier this year, and this progress has resulted in another strong quarter and enables us to improve the outlook for the remainder of this year. Tanate will walk you through the financials of the quarter and provide some insights in our expectations for the margin developments going forward. At the end of the call, we will be happy to take your questions. And now let's move to Slide number 2. This slide shows how we have continued accelerating growth. We again had a very strong commercial performance this quarter with a further increase in the number of customers and client balances. And in addition, our total income has reached the highest level ever in the third quarter. Our continued focus on providing superior value for our customers has again proven to be a key differentiator. This quarter, the number of mobile primary customers increased by 189,000 with more customers choosing us as their primary bank in almost all of our countries. In the last 12 months, we have grown the number of mobile primary customers by around 900,000, and we feel comfortable that we will sustain and even accelerate this strong growth trajectory. Our lending book grew by €9 billion with particularly strong performance in mortgages. In the Netherlands, we have been able to significantly increase our market share in new production, mainly as a result of our focus on digitalization and our flexible operations. And this is a clear example of how we increase impact and deliver value for our customers. In Wholesale Banking, growth in lending and financial markets was partly offset by ongoing efforts to optimize capital usage. And then on the liability side, a successful campaign in Belgium, which brought in €5.5 billion of deposits, and growth outside of the Eurozone were partly offset by seasonal outflows in the end and the end of a campaign in Germany. The strategic focus on gathering deposits in Wholesale Banking resulted in a net inflow this quarter as well. Annualized customer balances growth, so lending and deposits combined amounted to 5.3% in the first nine months, exceeding expectations of 4% that we set during Capital Markets Day. And finally, and as mentioned, total income was at a record level this quarter with fee income more than €1 billion for the first time. Slide 3 elaborates on how we are increasing impacts. And as highlighted in the previous slide, we have again seen growth in the number of customers, which shows their appreciation for our products and services. We are the most loved bank in many countries we operate in with a number one Net Promoter Score in five of our retail markets. We continue investing in further digitalizing our product offering. And this quarter, we rolled out our one app to business banking clients in Germany. As employees are our most important asset, we work hard on further improving the employee experience, and we're proud that we've been recognized as a top employer in five European countries. And in September, we published our climate progress update in which we highlight the progress that we made in putting sustainability at the heart of what we do. We have €28 billion of sustainable volume mobilized in the third quarter and €85 billion in the first nine months, which is 15% more than last year. The number of sustainable deals has also increased further. We have, for example, provided €250 million of financing to the National Heat Fund in the Netherlands, which provides loans with the aim to make homes and other buildings more sustainable. On the next slide, I show how we are delivering value for our shareholders. So, let's move to Slide 4. And here we highlight that our capital generation was again very strong with a four quarter rolling return on equity of 13.8%, while still operating at a CET1 ratio of 14.3%. This has allowed us to consistently distribute cash and deliver value to shareholders. And today, we announced another additional distribution of €2.5 billion, thereby providing an attractive return of 17% this year. €2 billion will be returned in the form of a share buyback starting today, which will have a further structural positive impact on both earnings and dividends per share going forward. And in addition, we will pay a cash dividend of €500 million in January 2025 to meet the cash hurdle in 2025. Note that this hurdle will increase to approximately €3.5 billion next year, which is a significant step up versus the hurdle in 2024. And as we continue to generate capital, we're confident that we can also continue providing attractive shareholder returns going forward, and we will update the market on next steps with our first quarter results next year as per our normal rhythm, i.e., every six months. And then we move to Slide 5. As we did last quarter, I would like to zoom in on an individual country and show how we are executing on our retail strategy. With an income of around €2 billion, ING Poland is one of our largest franchises, and with a strong presence in all segments of the market, i.e., private individuals, business banking, private banking, wholesale banking, and given that we are an integral part of society. The bank is highly successful with a large and growing number of customers, a favorable development in market shares in various products and strong profitability. And our high level of digitalization and our focus on offering superior value for customers is visible in their appreciation of our products and services. In that, we are consistently amongst the most loved banks in the country, have been awarded being the best private bank in the market, and we have a leading position in the business banking sector. Our customer balances have grown with a CAGR of 9% since 2019, and Poland is a significant contributor to ING's fee income and profitability. We firmly believe we can grow further and make more impact for our customers to increase presence in new segments. We have, for example, introduced new value propositions and enhance existing product offering for Gen Z and business banking clients. Our products franchise is a true example of how we're growing the difference. And then moving to the next slide. I would like to highlight the progress that we have made in our aim to be a leader in accelerating the low-carbon transition. Society is in a race against time when it comes to climate change. We believe that we can make a difference with how we steer our lending in alignment with the science-based and sector-agreed decarbonization pathways, which we call our Terra approach. In the past year, we have expanded our approach to include aluminum and dairy sectors. And for the aluminum industry, we have co-developed standards in which are designed to enable banks to measure and disclose their financial aluminum-related emissions and help them align financing decisions with their own decarbonization targets. Earlier, we also co-developed these standards for the steel and shipping industries. We've also made great strides with our client engagement approach. We have put a data-driven assessment and decision-making process in place that has led us to step up in how we advise and support wholesale banking clients with sustainable business transformation. And we've also expanded our oil and gas policy, and in that, we will stop all new financing to pure-play upstream oil and gas companies that continue to develop new fields. In addition, we have decided to stop providing new financing for new export LNG terminals after 2025, and I'm very proud of the progress we've made and are making. And at the same time, there's much more to do for us, and we want to work with all stakeholders and everyone who is driving progress, bringing impactful change to the areas where it most needs to happen. Then we move to Slide 7. I would like to highlight again that executing on our strategy has resulted in a very successful first nine months of this year with good commercial and financial performance. This progress on our strategy execution also allows us to improve the outlook for the remainder of this year. And we now expect total income to end up above €22.5 billion, up from more than €22 billion previously. We keep our outlook for total costs unchanged at around €12 billion, which means that we expect the cost/income ratio to come out lower at around 53%. And finally, the return on equity is forecast to be more than 13% for the full-year. And now with that, I will hand over to Tanate, who will take you through the results in the third quarter in more detail, starting on Slide 9.
Tanate Phutrakul: Thank you, Steven. I'd like to start on Slide 9, where we show the development of total income, which reached our highest level ever in this quarter. Total net interest income was impacted by treasury results, but the core net interest income lines consisting of lending and liability NII are resilient. I'll share more insights on the specific driver in the next slide. Fee income has increased for the third consecutive quarter. It is now more than €1 billion. Financial Markets continues to show good performance as well. The biggest growth this quarter came from other income, which benefited from the receipt of our annual dividend from our stake in the Bank of Beijing and a one-off profit from an associate company that we have invested in. On the next slide, Slide 10, we highlight our sustained commercial momentum with strong net core lending growth of around €8.5 billion. We have been able to grow our mortgage book. Growth was achieved in all of our retail countries, partly driven by supportive market developments, but also by ability to gain market share. On the liability side, we saw core deposit increase by almost €3 billion in the second quarter due to strong performance in both retail and wholesale banking. In retail, growth was particularly coming from Belgium, mainly driven by a successful marketing campaign, which brought in €5.5 billion. This inflow exceeded the €2.6 billion outflow we saw last year when the customer bought bonds issued by the Belgium government. In the wholesale banking sector, growth reflected our continued momentum in strategic initiatives in PCM and money markets. The key point on Slide 11 is that the decrease in net interest income was driven by volatile items in treasury-related income, while the core driver of net interest income were resilient in this quarter. Liability NII actually increased by €15 million, driven by higher volumes at stable margins. Lending NII was slightly lower as volume growth did not fully compensate for the decrease in margin, especially in the Wholesale Banking segment. We did not have any one-off this quarter and the impact of accounting asymmetry decreased somewhat compared to last quarter. On the next slide, we'll show the development of the margins. On Slide 12, you can see that the liability margin was stable this quarter, supported by lower average deposit costs and the tailwind from the longer duration in our replicating portfolio, which offset the decrease in short-term rates. The movement in lending margin this quarter is explained by Wholesale Banking due to growth in a low-risk segment and some one-off in the previous quarter. The overall net interest margin, which takes the development of the total balance sheet into account, decreased by 7 basis points mostly driven by lower treasury-related non-interest income. Overall, the net interest income in the third quarter supports our outlook for the upper end of the €16.1 billion to €16.6 billion range for the full-year 2024. Slide 13 illustrates our ability to maintain a strong liability NII also in a lower-rate environment. The graph on the left shows the forward curve as per the end of September 2024 compared to the end of June with rates coming down quite significantly. Forward curves are volatile, and today, again, look somewhat higher than at the end of September. However, for the sake of simulation, we have used this quarter end forward curve. You can see the impact of this development on our gross replicating income in the graph in the middle of the slide. Despite this pressure on replicating income, we remain confident that we're able to manage our liability margin at a level between 100 to 110 basis points, whereby we expect the margin in 2025 to end up at the lower end of this range. Turning to Slide 14. Fee income growth year-on-year was again double-digit, mostly driven by structural revenue drivers or as we term it, the alpha factors. Growth in retail banking was driven by higher daily banking fees and a growing number of customers with an active investment product account. Together with the growth in customers, we also see asset under management increasing by 19% since last year, which is a key driver for fee income growth going forward as well. The increase in fee income in Wholesale Banking was mainly attributable to a higher deal flow in global capital markets and in corporate finance. Given the strong performance across the bank, we remain confident that we can reach our €4 billion fee income outlook this year and our €5 billion target in 2027. Next slide, Slide 15. Total expenses in the first nine months of the year increased by just over 3% compared to the same period last year, and we expect total cost to end up at around €12 billion for the full-year 2024. Expense, excluding regulatory costs and incidental items were approximately 7% higher. This increase was mainly driven by impact of inflation on staff expenses, reflecting salary indexation and CLA increases across most of our markets. We also continue investing in our business, and had to pay higher VAT following the implementation of the Danske Bank ruling in the Netherlands. Operational efficiencies compensated a large part of these increases, and we continue to digitize our service and build our infrastructure to further increase operational leverage. On to the next slide, on risk costs on Slide 16. Total risk costs were €336 million this quarter or 20 basis points on average customer lending, equal to our through-the-cycle average. Net additions to Stage 3 provisions amounted to €453 million, which was partly offset by a net release in Stage 1 and Stage 2 risk costs, reflecting a partial release of management overlays and some model updates in retail banking. The Stage 3 risk costs were largely due to additions for a few new or existing files in wholesale banking. Although we see more macroeconomic uncertainty, we remain confident in the quality of our loan book. This is also reflected in a decrease in Stage 2 outstanding following repayments and lower levels of new inflows. Slide 17 shows the development of our core Tier 1 ratio, which increased to a strong 14.3% at the end of the third quarter. CET1 capital increased due to the inclusion of quarterly net profit after reserving for dividend. In the previous quarter, we saw an increase in credit risk-weighted assets. We also indicated that part of this increase was temporary and would largely be reversed before year-end. In the third quarter, part of the impact was indeed reversed together with positive changes in the profile of our loan book. This more than offset the higher risk-weighted asset driven by increase in exposure. Market risk-weighted assets also declined by around €0.5 billion, while operational risk-weighted assets were stable. The announced €2.5 billion additional distribution, we have a pro forma impact of 76 basis points on core Tier 1 ratio, which is well above our target of around 12.5%. That's it. Thank you very much.
Steven van Rijswijk: Good. And with that, we open up for Q&A.
Operator: Thank you. [Operator Instructions] We will now take our first question from Benjamin Goy of Deutsche Bank. Your line is open. Please go ahead.
Benjamin Goy: Good morning. Two questions, please. The first, on your replicating income, you downgraded it 15% to 20%, but to keep the margin. So effectively, I think you have more confidence in repricing deposits. So maybe you can give a bit more color around that, why this is the case? And the second question, thank you for the new disclosure, retail AUM and e-brokerage volumes. Can you talk a bit about the net inflows you have been seeing, so outside of market effects? And is there any recurring fee income share on those AUM in terms of pricing? Or is it mainly activity-driven? Thank you.
Steven van Rijswijk: All right. So, I'll answer the answer on inflows and Tanate answer the question on the replication income. Yes. I mean, if you look at the total assets under management, last year, we were at around €200 billion. Now we're at around €230 billion. So that's an increase of around 15% already. But more importantly, and I think that's part market but also part inflows. But more importantly, if you go to the fees slide, there you also see that we had a 9% increase in investment product customers to €4.6 million. And that's important. I also come back to the Capital Markets Day, because only 10% of our approximately 40 million customers have an active trading account with us. And now we've grown that with 9%. So yes, on the one hand, this is about an inflow and getting more investments and money from our investors to us, but also just do more business with more customers. And still, and that's what I said on Capital Markets Day, is gigantic because €4 million over €40 million is 10%, which is very low. And that's why we're able to continuously increase the penetration rate, and with that asset under management and without the fees.
Tanate Phutrakul: Hi, Ben, I think the question on replication is, you're right on Page 13. We show the new replication based on the curve as of September. But I think the reason why we're confident that we can manage the margin within the 100 to 110 is just take a look at Q3 margin that is stable at 112 despite two rate cuts by the ECB, right? And there's three moving parts within that number. The tailwind from the replication remains strong, right? That's one. The second one, we have volume growth that helps us on NII. And the third, the liability deposit that we pay to our depositor have also started to come down. You can see that at the bottom of that page, same Page 13, that the combined deposit of savings and term deposits is around 164 basis points, which is lower than the same prevailing number as of Q2. So, we do see that the cost of deposit we pay to customer is also coming down as well.
Benjamin Goy: Thank you. Just a small follow-up. I couldn't find the equivalent to the 164 in Q2 this morning. Can you just give us a flavor because total deposit costs are down, I saw that.
Tanate Phutrakul: Yes. I think the number – the same number for Q2 is 168 basis points.
Benjamin Goy: Great. Thank you.
Operator: Thank you. And we will now take our next question from Guillaume Tiberghien of BNP Paribas Exane. Your line is open. Please go ahead.
Guillaume Tiberghien: Yes. Good morning. Thanks for taking the question. Just a question on M&A, actually. Can you remind us the M&A strategy if there's going to be a bit more cross-border consolidation in Europe? I saw obviously, your comment on Poland. Would there be any interest in cross-border from your side? Thank you.
Steven van Rijswijk: Yes. Well, look, first of all, our organic growth is good, and we continue to do so. So that's our first focus. But yes, and I've said that also earlier that we would be looking at potential opportunities with strict criteria with regards to return on investment and return on equity, but also very much focused on either domestic consolidation in retail because if local scale in retail is important. So, if we can increase scale there and therefore, realize synergy benefits in a given market, then we will look at it. And secondly, if there is a skill set or product skill that we do not have, whereby we would be able to grow and diversify our income to our customers. So those are the two areas that we are looking at. As a matter of fact, we are looking at opportunities. But so far, we have not been able to find something that would fit us and our criteria.
Guillaume Tiberghien: Thank you.
Operator: Thank you. And we will now take our next question from Tarik El Mejjad of Bank of America. Please go ahead.
Tarik El Mejjad: Hi. Good morning, everyone. Thanks indeed for the more disclosure on the margin side. So, I have two questions. First, on the volume growth. Can you take us through what you see in terms of main drivers of growth coming in the next few quarters that you see already in the pipelines, maybe sectors, geographies, just to have a better view on this? And secondly, on costs, despite the good resilience on the NII and maybe a bit volatility on the trading side, I mean, the jaws will remain a bit under pressure. So now two quarters or so, I mean, almost two quarters into the plan, have you identified or do you see some room for more optimization of cost as I understand your strategy is more ongoing basis when you see opportunities you implement them. So, do you see any new opportunities to save a bit on running costs? Thank you.
Steven van Rijswijk: Yes. Okay. Thank you. On the volume growth, what we continue to see is clear growth mainly in retail. So, we see that mortgage markets are coming back. The biggest part of the retail loan book sits in mortgages. We see mortgages coming back. We already have seen that in the Netherlands, and to some extent, in Belgium. The Netherlands, the number of houses being sold this year is around 200,000. That is still a bit lower than two years ago, but coming back to that level. In Germany, for example, the housing market still has been quite benign. So, it has come back to the 56% – well, it was 56% of normal levels a year ago. It is now a bit higher, but still not back to the normal levels that we've seen two, three years ago, and that we believe will gradually come back. So, in the mortgage market, we see in general, the markets picking up. In that, and you've seen that in the Netherlands, for example, because of our digitalization of processes, which is the better, if not the best, of what is there in the market. As a result of that, we are increasing our market share. That's where we see the main growth in Wholesale Banking. It still depends on the recovery of GDP growth. And yes, that is still a bit, I would say, a lukewarm, if I would call it like that. There, we will stay disciplined in terms of where we can grow depending on the outlook of the industry, but the most growth will be expected from the retail in the next couple of quarters.
Tanate Phutrakul: Tarik, on costs, maybe a few points to make. First of all, the collective labor agreement increases are somewhat high, as you can see on Page 15, around 4%. And the stickiness of wage inflation is likely to last through 2025 as well. So that's the first point I want to make. The second, we have optimized our balance between investing in our franchise and reaping the benefit from that investment. The three big buckets of our investment is really client acquisition costs. So, these are marketing expenses and other promotional expenses to bring in our targeted one million new primary mobile customer. The second bucket is really expenses related to more front office hires in Wholesale Banking as we become more capital-light in terms of our model. But the majority of our investment is really building out our product and tech platform. These are the major investments that we have. And with respect to savings, it's really seeing the optimization and the investments coming through. We continue to optimize our network. So, people that works in our branches in Belgium, in Turkey and in Poland, those are coming through, as you can see in our numbers. We also see contact center expenses also coming down as we digitize more and make our mobile channels more user-friendly for our customer. And we also see the first signs of KYC optimization feeding through in that 2% reduction in cost.
Tarik El Mejjad: Okay. Thank you very much.
Operator: Thank you. And we will now take our next question from Farquhar Murray of Autonomous. Your line is open. Please go ahead.
Farquhar Murray: Good morning, all. Just two questions from me. Firstly, on the Belgium deposit inflow, obviously, congratulations on the €5.5 billion there. I just wondered if you could outline how ING intends to kind of recoup the initial loss on the one-year term offer there. Specifically, I'd be quite interested in what products you're hoping to cross-sell into and perhaps the retention you're assuming around that? And then secondly, some more point of detail. Just on the treasury income within NII. Could you give us maybe some sense of where you think we stand versus kind of a normalized rate there? And also, possibly what you think the structural trend is in your treasury results from here? Thanks.
Steven van Rijswijk: Okay. Tanate will take the question Farquhar, on treasury, and I will take it on the Belgian deposits. Yes, that was indeed quite a steal with that deposit campaign, which brought in €5.5 billion. Well, look, there are different reasons why you do campaigns. You can do a campaign because you then make money on that particular deposit amount on the fly and/or you return them into primary clients. And that means that you then do cross-sell with them in terms of daily banking. That's where it typically starts, and then investment products and mortgages. So those would be the typical products that we would cross-sell them into. To give you an example, out of the last two campaigns in Germany that we had, so both the one in the first quarter of 2023 and the first quarter of 2024, two-thirds of the money after the campaign was overstayed in. And those customers, therefore, became primary customers. So that's the way that we are structuring these campaigns, and we're confident that we can also do that this time.
Tanate Phutrakul: Then on other NII, Farquhar, I think we give quite clear disclosure in terms of what we make on lending NII. What we make on liability NII and the other NII is more volatile. We give you the lines of what we call the treasury asymmetry and as well as the financial asymmetry, which results in a negative number of around €400 million. And when you look at that number and strip that out, you see that the volatile items within our treasury results ranges this quarter on income of around €200 million, and for the previous quarter, around €300 million. These are quite volatile items. So, it's hard to predict, but I think a good range over time is between €200 million to €300 million in other NII in terms of these volatile items that will be kind of what we experienced in the past few quarters.
Farquhar Murray: Many thanks.
Tanate Phutrakul: Thank you.
Operator: Thank you. And we will now move on to our next question from Kirishanthan Vijayarajah of HSBC. The line is open. Please go ahead.
Kirishanthan Vijayarajah: Yes. Good morning, everyone. A couple of questions, if I may. Firstly, in the Wholesale Bank, when you think about the RWA efficiencies, and given the short-term demand at the moment for things like SRTs, is there a sense that you want to accelerate a bit, maybe get some transactions done before year-end, while the mood is still positive for those type of deals? Or do you think about the wholesale bank capital efficiency levers more as a kind of medium-term story. So, no real sense of urgency on a one to two-quarter view? And then still sticking with the Wholesale Bank in Germany and the Mittelstand sector there, I wonder if you're seeing any early signs, fresh cracks appearing maybe in the automotive supply chain sector, for instance. I know overall, you're seeing positive ratings migration at the moment, but just wondered if there were kind of any early warning signs you're seeing there? Thank you.
Steven van Rijswijk: I will give all of these questions to Ljiljana.
Ljiljana Cortan: Good morning. And thank you for the questions. Well, on the Wholesale Banking and RWA efficiency, well, we have started really looking into that more intensely, and we do expect some, first, I would say, reaping off of the impacts of the SRTs in 2025. So, you clearly know that the process is also requiring the regulatory approval. We have built internal capacities. So we are, I think, fully-loaded to do this more seriously in 2025. On the Germany Mittelstand, first, let me start with the statement that we are very small there in that area. So, our portfolio on that part is really minuscule, and there are strong, I would say, attempts and also wishes to grow there. Clearly, the macroeconomic environment also needs to be taken into account. But as we've discussed during our Capital Markets Day, the intention to start there is as well from the liability side, so from deposit side. So, getting the clients with the current accounts and savings accounts and making sure that they are also then after a certain time, transferring this, I would say, relationship into more asset-heavy relationship, which will clearly be differently, as well remunerated. We also are very much focused on being digital, and this is where we believe in Germany, specifically in Mittelstand, we can make the difference. And so, making sure that our offer also going forward is fitting with our digital prerogative is something that we are taking into place when we are deciding about the timing of putting certain products in place.
Kirishanthan Vijayarajah: Great. Thank you.
Operator: Thank you. And we will now move on to our next question from Sam Moran-Smyth of Barclays. Please go ahead.
Samuel Moran-Smyth: Hi. Good morning. Thank you for taking my questions. Two questions on liability NII, if that's okay. So, one specifically on deposits in Belgium. You noted that you brought in €5.5 billion of term deposits from the offer in September. I wondered if you could help me square that with the Q-on-Q increase in total deposits in Belgium of €2.4 billion, so €3 billion less. If I understand correctly, the term deposit offer was just for new money. So, should I understand from that, that there was kind of €3 billion deposit outflows working in the other direction? And then more specifically on the replicating portfolio, apologies if I missed it on the slide, but is there any update on the 50% less than one-year mix and 50% more than one year? Or should we assume that that's the same? Thank you.
Steven van Rijswijk: So that's one question, right, Sam?
Samuel Moran-Smyth: Sorry, perhaps my line cut off. So, there was one question on Belgian deposits. So, €5.5 billion.
Steven van Rijswijk: Yes, that we got. The second question we did not get.
Samuel Moran-Smyth: Sorry, second question was on the replicating portfolio, whether we should still consider 50% less than one-year maturity and 50% of the one-year maturity or whether there's been any changes there?
Steven van Rijswijk: All right. So, Tanate will take the question on replication portfolio, and I'll take it on liability NII in Belgium. So indeed, so the campaign gave us €5.5 billion. And you asked why is that only an increase of about €2.5 billion. That's correct. That has to do with outflows from the business banking side, particularly one customer with big amounts that – where the deposits depending on the activities come in or go out. So that is not structural.
Tanate Phutrakul: And Sam, to confirm, the replication distribution hasn't changed. It's roughly 50% less than a year and 50% more than a year.
Samuel Moran-Smyth: Thank you both.
Operator: We will now move on to our next question from Giulia Aurora Miotto of Morgan Stanley. Your line is open. Please go ahead.
Giulia Miotto: Yes. Hi. Good morning. Two questions from me, please. The first one is actually back to Ljiljana on asset quality. If I look at Slide 16, the Stage 3 ratio in Wholesale Banking increasing. I know it's super low, 1.9%, but still increasing. And if I look at cost of risk, 20 basis points, I know it's through the cycle, but because you're using some release of overlays. So, what do you expect on the evolution of cost of risk? Do you think we could, 2025 see a deterioration, especially on the corporate side? And which areas are you watching more closely? That's the first question. And then sorry to go back to Slide 13, which is my favorite slide this quarter. How do you square the idea that you can lower compensation on deposits with the trend we have seen from ING of essentially being a leader in offering higher rates and gaining market share via deposit growth? So, would you be willing to essentially give away some growth on deposits in order to defend the margins? Or how are you thinking about the balance between the margin and the growth in a much lower rate environment? Thank you.
Steven van Rijswijk: All right. Good questions. I'll start with asset quality with Ljiljana, and then we go to liability NII with Tanate.
Ljiljana Cortan: Good morning, Giulia, thank you for the question. Yes, as you've said, our risk costs in the third quarter are at the – through the cycle average at 20 bps and €336 million, and this is in line with our expectations. Clearly, as you mentioned, there is an impact of overlays in it, but this is exactly what overlays are being built for, and this is how we manage our risk costs through the cycle and not point in time. Clearly, the majority of the impact also this quarter comes from the Stage 3. But if you compare it to the quarter-on-quarter, you will see that they remain broadly stable, if not slightly lower at the Wholesale Banking side. This is, again, I would say, related to a number of additions for new and existing S3 files that are affected with specific circumstances. And part of these circumstances clearly comes from the delayed impact of the macroeconomic environment that is uncertain and already for quite some time, subdued. However, while we do have the confidence that we are actually doing the good job in a quite difficult environment, is that our low Stage 2 ratio remains low. And yes, on Wholesale Bank is increasing due to this lumpiness on the few clients that I've mentioned. However, also if you're looking at the Stage 2 stock and the trend in the third quarter, you will see that it's decreasing. So, this is something that is giving us kind of a confidence that the new inflows are low and that probably going forward, we will be able – actually probably, definitely going forward, I'm sure we will be able to manage through the cycle as we've done so far. Apologies, you asked about areas to watch. Yes, clearly, also just looking around in the environment, we've seen that commercial real estate is still, I would say, very high in the headlines. However, we do see this stabilizing, and we do see as well in our numbers. However, we remain very vigilant because aware of possible spillover effects in different areas, which we don't see yet. But as I say, we are not complacent there. And definitely, we do see some of the also cyclical industries being under temporary stress through a few of these clients that I've mentioned. But also due to the competitiveness, for example, that is becoming more and more important, specifically for the European clients. We do see automotive industry facing, I would say, some industry trends and challenges. And they are not just related to technology part, which we have been managing, I think, well in our selection criteria of the clients, but also connected, as I said, with the lacking of demand, again, subdued economic growth. Nevertheless, our portfolio remains performing quite well in that area, based, as I said, on the selectivity criteria that we have put in place quite early in order to differentiate the winners of the future.
Tanate Phutrakul: And Giulia, on your question on deposits, I think we are competitive in terms of our pricing in most of all of the markets we operate in. But I want to differentiate between normal offering in terms of rates and promotional campaigns that we run from time to time, right? And as you can see in Belgium, we ran a promotional campaign during Q3. We also ran a promotional campaign twice a year in the past in Germany, right? And those comes with somewhat higher promotional term rates. But of course, we expect that as these customers join us, we are able to cross-sell payment accounts, investment funds and attract them to remain with us when the promotional campaigns are over. And that we have done successfully. We model this quite carefully, and we're confident that these promotional campaigns are accretive to our NII. And you see that's the case for the last three months in terms of maintaining a net interest margin in liability of 112 basis points.
Giulia Miotto: Thank you.
Operator: Thank you. [Operator Instructions] We will now take our next question from Benoit Petrarque of Kepler Cheuvreux. Your line is open. Please go ahead.
Benoit Petrarque: Yes. Good morning. So, first question on my side will be on the lending NII, which was quite weak quarter-on-quarter despite the very strong growth momentum on the lending side. So, I mean, there have been some reasons like derisking in the quarter, probably loan sale and production into low-margin business. But could you help to identify, let's say, the drop linked to the derisking actions versus the kind of underlying picture on the lending NII side quarter-on-quarter? And what do you expect in terms of lending NII going forward? Thank you for that. And then the second one is, actually two small ones. Liability NII, so 100, 110 bps maintained. Could we get one or two quarters just below 100 potentially? Or do you think we will remain above the 100 bps liability margin every quarter in 2025? And then maybe on the other income, which was very strong and consensus does not believe this strong figure, obviously. But is that a sustainable level you think? Do you expect the current other income, well, generation to be maintained going forward? Thank you.
Steven van Rijswijk: Okay. Thanks, Benoit. I'll take the one on lending NII and Tanate will take it on the liability side and our income. No. I mean, if you look at lending NII, indeed, it was impacted this quarter by some one-offs, whereby we had last quarter underwrote some deals that were in a somewhat more risky spectrum. This quarter, we have more high investment-grade clients, and that brings in the margin down. It's a combination of many sectors in many markets, and a few deals here and there can flip the margin depending on what the new production actually does, but there is no trend in it. So, if you ask us, okay, is this giving a signal in terms of the margin is coming down and more pressure in Wholesale Banking, the answer is no. And we do expect that the lending margin will continue to hover around 130 basis points, as we have said before. Tanate, on liability?
Tanate Phutrakul: Yes. On liability, our guidance is that we are guiding towards over 110 for 2024 and then around 100 to 110 for the coming periods. What I think is determining where we are within that range is the shape and how fast the ECB lower rates, right? And if the current curve that we see in September were to manifest itself, you would expect that we would be operating at the lower boundary of that 100 to 110 net interest margin on liability. And then to answer your question on other income, yes, it's been a strong quarter for us. And backed by some requests from analysts, we have also given a bit more highlight in terms of other income on Page 23. We break it down into what is NII coming from client business, what is other NII related to accounting asymmetry, and what are true volatility within that line, right? You can see that client business is around €400 million to €470 million. Accounting asymmetry is quite clear. And yes, indeed, in this quarter, we had some higher volatile items in other income, but we give you this breakdown to give you more transparency in that line.
Operator: We will now take our next question from Anke Reingen of RBC. Your line is open. Please go ahead.
Anke Reingen: Yes. Thank you very much for taking my question. It's just actually to follow-up on the lending margin. In Q3, I mean, you talked about the decline in the wholesale margin. Are you able to give us some color on what's happening on the retail lending margin side? I guess it's relatively stable or which pockets you see different trends? And then about the lending margin, the hover around 130 basis points. In 2025, could we expect maybe more towards the lower end, considering, I mean, the outlook on volume growth is relatively muted, but you might want to lock in some. And I guess there's a concern more on asset quality. So, could lending margins be at the lower end of hovering 130 basis points in 2025? Thank you very much.
Steven van Rijswijk: All right. Thanks very much. So, no. So if we talk about the Wholesale Banking margin, again, and maybe I repeat myself to what I told to Benoit, but these are a number of individual files in Wholesale Banking that can tip it to one end or the other, whereby in some quarters, when you see some big underwritings or big deals that are in the, let's say, low investment grade or sub-investment grade spectrum, that you then see the margin increase or depending on certain sectors that are specialized structured finance sectors that the margin increases. But then if you do more, let's say, plain vanilla, large blue-chip corporate transactions, then the margin goes down a little bit. But going forward, we are comfortable with our margin of 130 basis points. Even more so, what we do see in the mortgage side, which is currently a big growth engine for us with the interest rates coming down, and there's always a lag in it that is beneficial for our mortgage margins as well. So, we're very comfortable with the margin level of 130 basis points.
Anke Reingen: Okay. Thank you very much. And for Q3, on the retail lending margin side, do you see improving trends?
Steven van Rijswijk: Sorry. Yes, that's what you asked as well. So no, that was stable compared to Q2.
Anke Reingen: Thank you.
Steven van Rijswijk: Thank you.
Operator: Thank you. And we will now take our next question from Matthew Clark of Mediobanca. Your line is open. Please go ahead.
Matthew Clark: Hi. Can I come back to the treasury, other NII line? Thanks for the guidance that it should run between the second quarter and third quarter level. But over the longer period, over the last kind of, I guess, two years since you've been disclosing that it has come down from more of a €400 million per quarter down to that €200 million to €300 million level. So, I'm just wondering what was driving that deterioration? And why is that deterioration now over? That's the first question. Second question is on the Belgian time deposit campaign. I'm just curious to what extent you pre-hedged the interest that you will have to pay to those customers before we saw the steep decline in swap rates into September. So, just trying to gauge whether you're on the hook for the full negative spread at the start of September or whether you've got a more benign negative spread because you'd locked in better returns ahead of time? Thank you.
Steven van Rijswijk: All right. On the second question, the answer is yes, we did pre-hedge part of it. So therefore, we locked it in.
Tanate Phutrakul: And then the first one, Matthew, the decline year-on-year is due to the unremunerated minimum reserve requirement by the ECB, right, depending on rates, but it costs us somewhere between €70 million to €90 million per quarter in terms of lower NII from that new rules from the ECB.
Matthew Clark: Very clear. Thanks.
Operator: Thank you. There are no further questions in queue. I will now hand it back to Steven J. van Rijswijk for closing remarks.
Steven van Rijswijk: Yes. Thank you very much, operator, and thank you very much all for dialing in and for your questions. I wish you a very good day. I'm sure it's a very busy day today with all the results coming in. So, all the best with that, and I hope to speak to you soon again. Cheers.
Operator: This concludes today's call. Thank you for your participation.